Operator: Good morning. My name is Sherry, and I will be your conference operator today. At this time, I would like to welcome everybody to the Park Aerospace Corp First Quarter Fiscal Year 2024 Earnings Release Conference Call and Investor Presentation. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. At this time, I will turn the call over to Mr. Brian Shore, Chairman and Chief Executive Officer. Mr. Shore, you may begin your conference.
Brian Shore: Thank you, operator. This is Brian. Good morning everybody. Welcome to Park's fiscal ’24 Q1 Investor Conference Call. With me as usual, Matt Farabaugh, our CFO. This morning, we announced our earnings, and in the earnings release, there are instructions as to how you can access and should access the presentation that we're about to go through. So you probably want to do that if you haven't done it. So far, it's also on our website. So just a comment about presentation generally. We put a lot of time and effort into these presentations. We take them quite seriously. We look at them as an opportunity to provide you with information that we think will be useful and helpful to you in better understanding Park, better understanding our company. That includes challenges, that includes things where we could come up short, that includes things where we've done fine. We're just trying to help you understand our company better. We don't need to look at these calls or these presentations as an opportunity to hype the company, to promote it. We're not trying to hustle you, that's not what you are for, that's kind of insulting. We're not trying to tell you what a great job we're doing. That's not the objective of these calls and presentations. I think you know these things. We’ve mentioned them before in the past, but I thought it would be useful just to remind you a little bit about these things. The presentation probably will take about an hour to go through. These tend to be long. One reason is that, every quarter there are new people dial in. So we want the presentation to stand on its own to some extent. We don't want a new person to have to go back and someone new to Park to look at the last five presentations to figure out what the heck we're talking about. We think that's a little bit asking too much. So I had a couple of comments. Most comments are quite positive about our presentations and many of our very good shareholders tell me they really appreciate the information that we provide to them. I've had a couple of comments that it goes on too long, and I understand that. We're all busy, I guess my suggestion to you if you're in that camp is maybe you want to listen to the replay and then you could fast forward through the air at the parts of presentation that are less -- of less interest to you. Obviously, we'd be delighted to take questions at the end of the presentation. We always like the questions actually because it kind of brings out what maybe other people are thinking and one person can ask the question and probably 10 others are thinking, that's exactly what I was thinking too. At the bottom of the first page of the cover page, I guess, of the presentation, it says it's Park’s 70th year in Business, I just thought you might be interested in that. If anybody has a question about the secret to longevity for Park, probably not a lot of brilliant stuff, maybe not even very much imaginative stuff. We don't take shortcuts, we don’t cut corners. And you may not like hearing this, but we do most things the hard way. So, okay, having said that, why don't we proceed. Let's go on to Slide 2, which is our forward-looking disclaimer language. If you have any questions about Slide 2, please let us know. Slide 3 is a table of contents. And the photo here was taken - of the 777X, was taken by Donna at the Paris Air Show. Let's see. Let's go on to Slide 4. Slide 4 quarterly results. So if you look to the right-hand side -- the right hand column, Q1, you can see the numbers there. I guess I won't go through each one. But let's kind of read the Q1 numbers in conjunction with the language at the bottom of the slide. What did we say about Q1 during our Q4 Investor Call? The sales estimate was $14.75 million to $15.25 million. So we came in, looks like a little bit above that range. But EBITDA estimate was $3 million to $3.5 million. We came in kind of in the middle of that range. Also, we note back to the numbers in right hand column, our gross margin 31.1%. As I think you know, by now, we get pretty upset when the gross margin is under 30%, but we're still feeling that the margin is lower than it should be and we feel our margins are somewhat under pressure. And you could say that, just a look at the numbers, because you say, well, we exceeded top-line by a little bit, why didn't we exceed the bottom-line by a little bit, it kind of it would fit. So we'll talk about that in the next few slides. I think that covers it more or less for Slide 4. Let's go into Slide 5. A little discussion about the quarterly results. Next few slides, right. First of all, I have to tell you, I have to say, outstanding job on Park's people to exceed at least by little, our Q1 sales estimate and to make our Q4 EBITDA estimate. Under difficult circumstances, especially considering significant challenges. And I’ll stop here. Somebody said, well, you go over the same stuff every quarter. Yeah, we go over the same stuff for 10 minutes every quarter. We live with it 24/7 every quarter. And seriously, we think you should know these things even if they haven't changed that much. We think you should know what's going on in Park and what we're kind of living with. So, yeah, it is somewhat repetitive, but as soon as these things stop being an issue for us, we'll stop telling you about them. Supply chain disruptions and unreliability, boy, that's not the first time we talked about that. The situation seems to be beginning to improve, boost all of our surprises and we just got a big one a couple of weeks ago with suppliers. I just want to stop here and explain, we are talking about Park supply chain. Very important, we'll get into this later in the presentation. We're not talking about the supply chain generally related to the whole aerospace industry, that's a different story, very different story. We're just talking about our supply chain on Slide 5 here. We're managing -- I want to say, I believe we have excellent relationships with our suppliers. That's been to our benefit. Tables always change -- turn, whatever you call, at some point. If things are going your way or the dynamics are in your favor, and you treat people not so nicely, when those dynamics reverse, watch out what will happen. Well, we always try to treat people, including our suppliers with dignity and respect, things that helps us when things are challenging and difficult as they are now. We're managing the challenges by building inventory where possible and appropriate, providing suppliers with longer lead times where appropriate, but supply chain disruptions continue to be challenging and difficult. Now there was a comment that maybe we're kind of late to dealing with supply chain issues or mediation actions have been weak or something like that. And I just want to say, I've been doing this a long, long, long time, a long time. And I think our people are doing an outstanding job in managing the supply chain challenges, an outstanding job between Mark, and Cory, and Chris. And then also, we got all the production plan that feeds into as well, because if something -- one raw material component doesn't arrive on time, we got to go -- we got to change our production schedule around, a lot of juggling and I think an outstanding job by our people. Outstanding. Freight, particularly international freight disruptions and unreliability. That's still a challenge, and last quarter, Q4, remember we told you we missed $1.2 million of international shipments to, what was it, to Japan and Italy? Japan and Italy, yeah, you blame shipments because of the international freight forwarders. This is a big, big challenge. But again, I would tell you our people are doing an outstanding job in my opinion. Cory, John and others, the team, outstanding job under very difficult circumstances. And there is some comment that maybe our people weren't doing a great job. I totally disagree with that. I totally disagree with it in terms of the international freight forwarders. And I guess I just want to make that point because I disagree with a comment that maybe weren’t on top of our game. I think we're really doing a great job in a very difficult environment with international freight forwarding, especially international. Staffing shortages, yeah, they're ongoing and they continue to be challenging for us. Doing more with less, that's kind of what we do at Park. That's not new. We've always done more with less at Park. Even when things are better, we do more with less. So let's go into missed shipments, about $400,000 in Q1. And guess what? Most of that was, guess what, international freight forwarding. So that challenge has not gone away. Let's go on to Slide 6. Continuing here, factors which affected our margins in Q1. Inflation, I won't read off all the different items that inflation has affected, but it's still a factor for us. It's leveled off to some extent, but we're still dealing with leveling off at that higher level and sometimes people miss that point. Inflation is only up X amount this quarter. Yeah, but it’s up off of higher base, that hasn't gone away. If we have deflation and prices start going down, maybe get back to where we started from, although that's not something that most economists would wish for is deflation. Let's go on to Slide 7. Some of the increased costs were passed on to our customers in Q1 in the form of selling price increases. This is something we've discussed in the last few quarters, it hasn't changed, we are discussing it. Why not all, the lag effect, and then we discussed the lag effect many times, it is still something we live with. And LTA pricing. This is a big deal, LTA pricing. Because that doesn't change. And that's the point about, inflation may not be up so much this quarter, but it's up off an elevated level and our LTA pricing hasn't changed with -- I think you know this, but MRAS for instance, which is one of our big LTAs of course. We have fixed price increase in 2025, but we're sitting here with the current prices until 2025. So Let's go on, supply chain disruptions causing inefficiencies in our manufacturing operations, absolutely. We talked about that in the prior slide where those changes, those challenges with supply chain, not only causes us to have to deal with supply chain issues, it also causes us to have to deal with production issues, production planning and management. Staffing shortages. So yeah, it's an efficient deployment of our workforce, increased expenses. Costs related to commissioned new plant. So we have the new plant. We're very delighted about that. It's a wonderful new plant. But obviously, the day we commission it, it's already absorbing the cost, the plant will be fully utilized. And that's not a surprise, that was part of the planning, but it's still a factor which impacts our P&L. Let's go on to Slide 8. We don't really have talk much about Slide 8. This is the historical annual data that we share with you pretty much every quarter, just for perspective. Let's go on, Slide 9. Top 5 customers, this is something we do every quarter. So, who do we have? Avio S.p.A. That relates to the Vega launcher, ablative materials. Kratos, and actually the Dynetics X-61A Gremlin, that's an aircraft that -- an unmanned aircraft that Kratos produces under contract. So next one is Middle River. You know who they are. Think that's the Airbus XLR, that's also a photo that was taken by Donna at the Paris Air Show. Meggitt PLC, that ties to the Growler, that's of course for Radomes. And The Nordam Group for choosing this feature -- this time with The Nordam Group, one of our really good customers, the Bombardier Global 8000. This is the -- we talk about later, the Passport 20 engine component that we work with Nordam on. So -- and the Passport 20 is the engine on the Bombardier Global 8000. I guess I should have explained that. Let's go into Slide 10. So we have a pie chart here. I guess the interesting thing to me is I just look at this -- look at each number, look at the graphical depictions, that fiscal ‘21, that was the big pandemic year where commercial went way down, military kind of held its own. But if you look at ‘22, ‘23 and Q1 of ’24, the pie charts look pretty similar in terms of commercial, military and business aircraft. Let's go on to Slide 11. This is always an interesting slide. This is actually something Alaina does for us every quarter. Alaina is the Head of Customer Service. Park loves niche military aerospace programs. These aren't necessarily the biggest ones. These are ones that we think are interesting and might be kind of nice to share. The Predator, you've probably heard about the Predator. We do materials for structures on the Predator. Going to the right side of the page, Lockheed Martin Long Range Anti-Ship Missile. Radome materials for that program. Bottom left, Israeli Arrow 3 Missile Defense System, ablative. This is a really big opportunity for Park, very big opportunity, just starting on it. But if you read about it, there's a lot of talk about this missile defense system, not just for Israel, but also for Europe as well. The JSTARS, so the radome which goes with JSTARS. And the top center, MK-21A. That's a future ICBM technology, being tested, I think, by the Air Force. It carries the W87-1 re-entry warhead. So I'm not going to say what that's for, but I'm sure you know what it's for. And we'll be supplying to that program our ablatives. So let's go on to Slide 12. Here we go, two updates for the price of one. So what we're doing is providing the update about the plant expansion and the new Film Adhesive product that we recently introduced. And what we're doing here is we are running the new Film Adhesive product on our new film line in our new plant. So there's your two updates for the price of one. Let's go on to Slide 13. So let's talk a little bit about trends and considerations for aerospace -- the aerospace industry. Starting with the military markets. Military markets continue to be very strong, fueled by the ongoing war in Europe and major global tensions. There's talk about winning the war. And I'm not sure what that even means, but there's talk about -- there's certainly a lot of people in the government who are very gung ho for military right now. Optimism abounds about Foreign Military Sales, that's a big deal. We think in terms of our US Defense budget, but that's kind of only part of the picture. So much demand for Foreign Military Sales that has a big impact on, especially the US Military contractors. So what will happen when the war ends? So that's an interesting question. See, I told you, sometimes we just want to share with you some things to think about. All wars end at some point, one way or another. It's not something that seems to be discussed very much, especially in terms of the defense industry and what kind of impact it will have on the defense industry. Will the countries in Western Europe return their spending focus to domestic welfare programs? What about Eastern Europe? What about the US? Maybe it depends on who's running the place. What about defense spending in Asia? That's kind of a different dynamic there. I don't have an answer. I'm just saying it's something to think about that could be important and could be an important factor. Let's go on to Slide 14, commercial. Talking about commercial aerospace markets, optimism abounds. Paris Air Show, we just showed you a couple of photos from the Paris Air Show. Vibes were borderline euphoric, almost giddy maybe. Almost giddy claims from the show about the commercial aircraft industry being “back”. I just put my fingers up. You couldn't see that, you put in quotes, and putting the horrors of the pandemic in the rear view mirror. Indigo Airlines, India's leading domestic carrier, kicked off the show, kind of took the oxygens out of the show in a way with the announcement of a record breaking 500 A320 Family Aircraft order. That's not just a record breaking for the neo, that's record breaking for any order, I understand anyway. It was a big, big, big deal. 500 airplanes, a lot of airplanes. Now what's interesting here about it is, to be delivered between 2030 and 2035. Well, that's a long time. If you order something -- would you a buy -- order a car when you're not going to get it for about 8 years? Probably not. So what's going on here? Is this a sign of market capitulation? Maybe. I think the backlog for the A320neo in particular is very, very huge, but they’ve been kind of stalled out. It wasn't really growing. And the reason was the backlog was so, my opinion, so large, the lead times so large that airlines were reluctant to order more. And I think what's happened here, my opinion, again, is airlines realized that it's not going to get better and they better get the orders in now for after 2030 or they're going to miss out even on those orders. So it seems like maybe that's -- there might be a little bit of a market capitulation that airlines are realizing, we better go and order airplanes. This pipe dream about getting an airplane delivered in three years, that's a pipe dream. That's not going to happen. Will single aisle orders, which have been somewhat stalled out due to the huge backlogs and extremely long lead times now accelerate? We'll have to watch for that. But it's possible that this big 500 aircraft order, which is delivered not until the 2030s, may be a sign of things to come. Let's watch for that. The optimism of borderline euphoria are good things for the industry. Right? Well, just think about that. I don't know. Think something to think about. I'm not saying I have the answer. But think about times in any industry where there was kind of very comprehensive euphoria and what that led to, in any industry. So just think about it a little bit. It's just something to think about in terms of where we are at aerospace. I don't know what it means. I'm just saying it's something to think about. Now we have something down the bottom of the page here. Very, very little, tight, but there may be one little issue, minor detail to be concerned about. Let's go on to Slide 15. Well, supply chain. So this is what I was talking about before. And we talked about supply chain, things getting better for Park’s supply chain, we're not talking at all about the industry supply chain. That's a totally different story. And it's a huge, huge, huge story as far as I'm concerned. Main impediment to recovery and ramp back up for both military and commercial aerospace industries. Demand is certainly there. There's no question, both on the military side and commercial side. But when will the industry be able to produce a commercial aircraft and military hardware needed to meet the demand? To me, that's like the $64,000 question. Boeing and Airbus seem to be saying supply chain issues will -- again there is that quotes – normalize, whatever that means, toward the end of 2024. Is that realistic or is it in part wishful thinking? I know the answer to that question, but they're asking the question. I'm not suggesting to answer, but I will remind you that according to some, the supply chain crisis was supposed to have been resolved by the end of last year. I believe the track record of predicting the end of supply chain crisis isn't perfect. Let's go on to Slide 16. According to Airbus, the three key supply chain issues are electronic components, meaning semiconductor chips, engines and raw materials. I'm not sure what raw materials means. I'm just quoting from what an Airbus representative said. One thing I can tell you is there are no issues for Airbus with raw materials from Park. But here's the kind of key thing here for me is a key question. What is the supply chain crisis really about anyway? And we talk about supply chain, supply chain, supply chain. What are we really talking about? Is it really systemic workforce shortages and staffing issues? I think it might be. With so many people having left the workforce, we now have what is called full employment in this country. So much money being pumped in the system, so many people are encouraged to leave the workforce, maybe permanently. Let's go on to Slide 17. According to Airbus, this is really a big thing as far as I'm concerned. The aerospace industry used to be able to hire back eight out of 10 employees which it let go. Aerospace is very cyclical, up and down, up and down. So a pattern of letting the people go, hiring them back, letting them go, we know we don't do that, but that's the pattern in aerospace industry. We don't like it very much but that's how it's done. But now the industry has only been able to hire back, listen to this, two out of 10 employees who were let go during the pandemic, wow. Of course, as you know, Park let, none of our people go during the pandemic. So no issue for Park about calling back people. But this is not about Park, this is about the industry. A real human tragedy in our opinion. What do you mean? What I mean by that is broken people. People left the workforce and don't have the ability to come back to work. They've been -- they've lost their edge. They've not worked for so long. Their lives have, really maybe been destroyed. It’s a really sad thing. We see these people. I'm not speaking theoretically. I'm not watching financial news and telling you this. These are people we see to try to come back to work and just don't have the ability to do it. They've lost their edge. It's a real sad thing. To me, it is anyway, it's a tragedy. How does this end? How does this get resolved? Any ideas? I mean, that's a real question. I don't really understand how it gets resolved. If the supply chain issue really is a workforce issue, then where is the workforce going to come from if we have this full employment because many people have left the workforce. So I'm just saying that there's a real question mark in our minds. I just want to mention one anecdote here in terms of supply chain. We have a customer that supplies into a very important military program which is real hot. I mean everybody wants this hardware. Everybody wants this equipment. Every wants this system, in the news all the time. They call us and say, well, the orders today placed for our Q2, meaning through the end of August, we want to push out to Q3. We're saying, what do you mean? Why would you want to do that? And the program is so hot? These are good people. They don't play games with us. These are really good people. When they say to us, you won't believe this, they said, yeah, but we can't hire the people to make the components. We can't hire the people who make the components. So as far as their customer is concerned, they say it's a supply chain issue. But what's the real issue? The real issue is they can't hire the people who make the components. It's a mess, if you ask me. Let's go on to Slide 18, changing gears totally. GA Aviation jet engine programs, So this is a slide that we use or we include in every presentation, although we expanded a little bit, so we went on to two pages, sorry about that. We had that firm pricing LTA, it's a requirement contract through ‘29 with MRAS, Middle River, which is a sub of ST Engineering Aerospace, that Singaporean company. We built that redundant factory that was part of our understanding. The factory is complete and in production. So what we’ve basically told Middle River was once we signed that LTA through 2029, we'll build that factory for you. We'll build that redundant factory for you. So we signed -- entered into the LTA. We built the factory. We did what we said we were going to do. We're sole source for composite materials for engine nacelles and TR, thrust reversers, TRs for multiple programs. I won't go through all -- and the first five are let's call it A320neo family with those LEAP engines and 747, the program has been cancelled, still making some spares though, not too many, but some. Then we got the two Chinese aircraft, the 919, the ARJ21, and then the Bombardier Global 7500, 8000. Got the nice picture here. We got the picture of the 747-8 engine nacelles, even though the programs have been canceled. Let's go on to Slide 19. So we can skip over the first one, we cover that every quarter. And the second item on Slide 19, there's a little bit of an update here. Fan case containment wrap for the GE9X engines for 777X aircraft. That's produced with our AFP composite materials. It's not included in the MRAS LTA, not now. But we've been told that by MRAS, the one included in the LTA, we're kind of waiting to see what happens with the program. Remember, we talk every time, we discuss every time we mention this program, the redesign risk, the issue here is that the fan case was not able to pass what's called the FBO test, which is a critical test. It's a non-negotiable test. The only thing that's been certified so far has been a fan case with the case wrap with our materials, which has passed the FBO test. So the suppliers of fan case is trying to redesign the fan case to pass the test without the case wrap. So far, that has not succeeded. And if it doesn't succeed, then the fan case wrap that we run will continue throughout the program, I suspect. Next item, these are two new items at the bottom of the page. MRAS is qualifying two Park proprietary film adhesive formulations, one of which is the arrowed here, that we announced recently. But there's another formulation that we developed that MRAS is just taking off the qualification month as well. Here's a big one, Life of Program Agreement requested by MRAS and STE, not by us, requested by executives, MRAS and STE. This is saying, yeah, after 2029, that's not good enough. We want to change that into a Life of Program Agreement. Life of Program means, until the program ends. You tell me, when are these programs going to end? 2045, 2050, and these programs are a little different, but it's a long, long, long time in the future. So how much is that worth to Park? I don't know. If you look at the outlook later on in the presentation, it says once these programs ramp up, $50 million, but that's in the 2025 to 2029 period. After that, the numbers will be higher. So you do the math, to figure out how much this is worth to Park. Now what we've done, they've asked us to do this. We provided them with a draft of Life of Program MOU, when we're going to start to negotiate, I guess, or work on the details in the next couple of weeks. So I think it's a win-win, it's good for Park, but it's also good for the customers. Let's go on to Slide 20. Update on GE aviation jet engine programs. So let's talk about some of the programs. A320neo, we will start with that program because it's the big -- the big one in the GE Aviation program portfolio. We were talking about this India's -- Indigo Airlines placed a record 500, A320neo family aircraft order at the Paris Air Show. Now assuming the 60% LEAP market share, we'll discuss it a little bit further down in the presentation, that's worth over $20 million of revenue to Park. Airbus already had a huge, over 6000 A320neo aircraft family backlog at the end of 2023 and then we had this 500 aircraft order. At the Paris Air Show, Airbus reaffirmed their plan to achieve that. Remember that 75 rate -- 75 A320neo aircraft family deliveries per month. They're saying now by the end of 2026. Will Airbus achieve the rate by the end of 2026? Hard to say, but based upon their backlog, which is so huge, there's a high degree of confidence they'll get there at some point. Maybe not -- I mean, it's just my opinion, the Airbus CEO says it's going to be end of 2026. If it's not, my guess is it won't be too long thereafter because there's so much energy behind the -- on part of Airbus to get there. How are they doing so far with the planned ramp up? And then this is where it gets a little complicated. Let's go on to Slide 21. Challenging road for them so far. According to ports in 2023, year-to-date through May, Airbus delivered an average of about 40 A320 family aircraft per month. That's not what they want. Not that we want. With that kind of backlog, that's not what they want. Remember, middle last year, I think they expressed or stated their target or objective to get over 50 deliveries per month by the end of last year and they did. I think in November, December, they exceeded 50. But here we are, the first five months of this year, back to 40. So really struggling now in May, I think they got back to over 50, I don't know if that's a trend or that was just a month of May, really struggling. I mean, if they could be at 75, they would be at 75 right now. So there's what? There's a supply chain issue and it's very significant, holding back their ability to ramp up as quickly as they want to. The A320neo aircraft family offers two approved engines, you know this, the LEAP engine, which is the one we're on, and there's a Pratt 1100G engine as well. As of the end of April 2023, CFM LEAP had a 60.0% -- that's a precise number by the way, market share of firm engine orders for the A320neo family of aircraft. Now recently why this is kind of -- maybe it's important. Recently widely reported serious durability issue with the Pratt 1100G engines. All new engines have growing pains, no doubt about it, especially with new technology, but the reported Pratt engine durability issues seem to be far worse than durability issues reported on the LEAP engine option for the A320neo aircraft family. So let's go on to Slide 22. According to GE Aviation, they've already made improvements to the LEAP engine regarding durability and test results have yielded very good results. Let's -- with -- sorry, next item. Now here's an important question. Will the Pratt 1100G durability issues lead to an increase in CFM's A320neo family aircraft program market share to even greater than 60%? It's something interesting to think about, but these are serious issues. They're widely reported. So let me just ask a question. Let's say you're a big airline and you're ordering A320neo aircraft. Now you're going to need to select an engine pretty soon. What engine are you going to select? Maybe even like Pratt, but are you going to take a chance that by the time your aircraft is delivered, these durability issues will be resolved? I mean you're not going to be emotional, I think you're running an airline, you want to make the best decision. So it's a question as to whether these durability issues, which again are widely reported, will move the market share more in CFM, the LEAP engine’s favor. These are, like I said, serious issues. There is I think, one airline that -- here's the thing about airlines. They don't make that much money, their margins are thin. So it's really a problem when the airplanes are on the ground, they're not flying. That's what happens with durability issues. The airplanes are on the ground a lot more. There's one airline who claims that it had a clear bankruptcy because there's -- so many of their airplanes were grounded. It's not a minor issue. So we'll see what happens, but I just think it's something you might want to be aware of. Going to next item. Assuming that 60% market share, assuming 75 aircraft deliveries per month, that basically translates to that number, 1080 LEAP-1A engines per year. Next item. Interesting, remember we talked about the A321XLR in prior presentations. So that's a pretty exciting airplane that Airbus is working on. And they -- okay, so what happened is that the aircraft made its debut at the Paris Air Show, but with a LEAP engine and Airbus plans to achieve certification of the aircraft with LEAP engine. So they're going to first certify the aircraft with LEAP engine. And as you know, Boeing does not have a response for that aircraft. Slide 23. So just a couple other programs we'll touch on. The 919 with CFM LEAP-1C engine. Comac plans to achieve production rate of 150 C919 aircraft a year within five years. That's what Comac says. Comac currently has over 1,200 orders. China Eastern Airlines just conducted -- recently conducted its first passenger flight with the 919. Here is the issue or here is the dynamic. Basically, Comac will able to sell all their ability to produce these. They control the market in China. If they can produce it, those airplanes will be sold into Chinese market. Whether they'll be sold outside of Chinese market, that's another question. I'm not even sure that's the objective of Comac and the Chinese government at this time. The Global 8000 variant. Let's see, prototype first flew in May of 2023 and expect to enter service in ‘25. Let's go into 24. So, just a little bit of a nostalgia thing here. Well, not only nostalgia, we get the old and the new. We got the Boeing 747 going, bye-bye, but the new airplane is 777X. That's planned to enter service in 2025. We talked about the case rep, we talked about the intentional redesign, but it's still a program we feel really excited and happy to be on. And hopefully it will work our way. I think it will, in my opinion, I could be wrong, but we'll see what happens. I think we'll know in the next year how this is going to break or maybe even sooner than that. Let's go on to Slide 25. GE Aviation jet engine program sales history. So Q1, we had $6.2 million which is kind of in the range of more or less of the last couple of years, some ups and downs, not the ‘21 year, that was the pandemic year. But what you probably noticed is we're not providing a forecast for Q2 for either GE Aviation programs or for Park. So why are we not doing that? So just a little bit of background here. Airbus has been a pretty aggressive company in the last three, four, five years. During the pandemic, Airbus was known to be pretty aggressive with their customers. Customers who wanted to push out or cancel orders, Airbus wasn't not allowing to do that. Airbus also has been quite publicly aggressive with the supply chain for a couple of years now. Almost uncomfortable with these kind of public battles in supply chain where Airbus has been very aggressive, very vocal about pushing the supply chain, pushing the supply chain, pushing the supply chain or ramp up, ramp up, ramp up, so that they can get to the rates -- Airbus can get to the rates they want. And it's been an interesting battle now. Some companies have done a pretty good job with meeting Airbus's expectations. Some companies in the supply chain, maybe companies like Safran, maybe companies like Airbus -- sorry companies like MRAS, Safran. But I mean how many components does it take to make an A320neo? I don't know the answer to that question, but you know it's a lot, lot, lot. How many suppliers supply into that program? I don't know the answer to it, but it's a lot, lot, lot. And a lot of the key suppliers can be meeting Airbus's expectations. But there's even a few, and a lot more than a few that are not -- what happens Airbus not able to produce the aircraft? So what are they going to do? They are going to say, well, we have to slow down our rates. So the suppliers, the good suppliers that really try to keep up with the expectations, what are they caught with? They're caught with a lot of inventory. And that's what's happening here. We don't know the details yet. We're going to be meeting with MRAS in the next couple of weeks to figure out what the plan is, but we have what's called a burn down, because it's not really Park inventory, we don't think, it's finished goods inventory, finished structures inventory, where they just got ahead. They tried to meet Airbus's expectations, but Airbus is not able to produce the airplanes they want to produce. Not because of MRAS or Safran, but because of the dozens and dozens and dozens of other suppliers just not meeting these expectations. I just gave you the information. Only 40 airplanes per month for the first five months of this year. That's a very low number. That's not what they want. Not many expectations. So what happens to all the good suppliers that really try to support Airbus, is they get stuck with inventory. And that's what's happened here. That inventory needs to be burned down. I don't think it's our inventory. We'll get -- we need to get the details and facts. We just sit down with MRAS, and figure out, okay, how much inventory are we talking about? And here's the key thing, what's the burn down plan? Over what period of time is this inventory, how much is it -- is going to be burned down. Until we had that information, we don't really know what we're going to be looking at in terms of our GE program sales for the short term. It could be a fairly weak, fairly light for the next couple of quarters, but we don't know. And I -- we don't want to guess, I mean, there's really no point in doing that. So the better thing would be to explain to you the situation rather guessing something, that would not be meaningful, because it would just be a guess. I would expect the GE Aviation program number to be down. I just don't know how much it will be down. We don't and we don't know how long it will be down. The good thing is that inventories are finite. There's a finite amount of inventory, it can be quantified. So if we're effective at this, we meaning us, MRAS and maybe their customer, we should be able to come up with a fairly credible burndown plan. When we get to our next quarter, we'll have that information, we will be able to tell you, okay, this is what happened in Q2, but also what's the expectation, let's say, for Q3 and when the burn down will be done. So just for reference, if you look at the current rates for the A320 to Global 7500, the Comac airplanes, let's say the inventory gets normalized, it should be kind of more or less at the rate of last year, $23 million, $22 million. So that's when things are normalized. Once the inventory is normalized, once the inventory is burned down, then our rates will align with the end market rates. In other words, the production rates of these airplane. Okay? So I just want you to have that perspective that what we have here is an event that's going to distort our numbers temporarily, we don't have the detailed information yet to be able to share with you. But the key thing is, once the inventory, which is finite, is normalized, our sales will be aligned with the end markets production rates. At this point, based upon today's end market production rates, that is kind of like that $23 million number for last -- $22 million, $23 million for last fiscal year. So let's see. I think that kind of covers this issue and I think we should just go on to the next group of slides. So what are we doing here? We're going over what we went over in our Q4 presentation, this outlook we call it. And I'll explain why we're doing that if we go through the outlook again. But the reason is that we -- I'll give you a little bit of a teaser, I guess we'll quote that. The reason is that we didn't really know if people, audience or investors got it, in quotes again. So we won't go through all this preliminary information in great detail. The first item on 26, we're saying we're really not in a position, not even talking about the burden that we just spoke about, to kind of give you year-over-year forecast because it's so uncertain as to when things will ramp up because of what, supply chain issues. Like I said, Airbus says they're going to be at 75 within ‘26. Are they? We don't know. And that will drive a lot of the year-over-year predictions for us and forecast for us. So we'd rather talk about, okay, we know or we believe anyway that at some point these issues will normalize, supply chain issues, staffing issues, inflation issues, freight issues, all the things we're talking about. At that point, then we'll be dealing with more or less call the normalized market. So for that reason, we're providing an outlook on the theory that these things will resolve over the next few years and then we'll have better visibility into where we're going. So let's go on to Slide 27. Slide 27 just says these are the assumptions we're making. I'm just going to cover them already, so we won't go through those again. Slide 28. Let's slow down and take a couple of minutes because this is something important. So how do we do this? We just looked at the programs and we assumed certain rates for the A320neo, that's the 1080 number, that's the 75 airplanes per month at a 60% LEAP market share. And the revenue per engine, that comes from our customer. So this is just math. You can just multiply across and the same thing with the Passport 20. So I think that Bombardier has been producing about 40 airplanes a year for last year. So we thought maybe you moved up to 45, there will be 90 engines, two engines per airplane. 919, remember, I told you they are predicting 150 airplanes for a year in five years, well we're assuming 100. These -- there's again two engines. Now why did we assume 100? Well, the A320neo, which is another single aisle, they are talking about being 900 a year, the triple -- sorry, the 737 MAX, they're talking about being at 600 a year. So 100 a year we thought wasn't too aggressive. And really like we said, it's a function of how they're able to ramp up, not really the market. The limitation or the issue for C919 is not the market, it’s how quickly Comac is able to ramp up. ARJ21, last year they produced -- they shipped 26 of these airplanes. So that would be, times two, so 50. We think it's really conservative. The GE9X, we're not giving you the details, because we're trying to protect the confidentiality of the program. But we think the assumptions we're making are quite conservative in terms of units. We do have the revenue per engine number. It's just the units that we don't want to disclose at this point. Now we're wondering about why this didn't have more of an impact as well as the next slide, which is the outlook for Park. So we thought about this. We received a lot of books from investment bankers with these, offering memoranda, with forecasts that are basically hockey stick forecasts. Somebody is doing $30 million of sales, but two years from now they're going to be doing $60 million or EBITDA, same kind of steep ramp up hockey stick. And a lot of that's really kind of fantasy stuff. It's not real. Well, this is a little different here. What are the chances we're going to lose the A320neo program? I mean, I guess you never say zero, but I would say less than 1%. So this is not predictions, hopes and dreams, these are programs we're on. So the only question is how many airplanes Airbus produces with the LEAP engine. That's the only question that's meaningful. This is not a hockey stick prediction. This is not hopes and dreams. These are reality things that we're talking about. Programs are on, qualified on sole source. So I just wanted to explain the basis of this and that's how we get to this $50,625,000 per year number. Let's go on to Slide 29. Let's stop here for a second as well. It’s something we shared with you last quarter. We just take the baseline. This is a Park outlook. This is outlook, not a forecast. We take the baseline year, last year, $54.1 million of sales, $11.5 million of EBITDA. And we look at the GE programs incremental sales, that's just taken that $50,625,000 number from the prior slide and subtracting the [‘23] (ph) revenues. That's the incremental revenue, $28 million. $20 million from these other three programs, which we think is a pretty conservative number. There was a comment that maybe this number is aggressive. And I would say we completely disagree with that. We believe this number is actually pretty conservative. Non-GE program incremental sales, $8 million, we just took the baseline from ’23, which is about $32 million, assuming about 5% a year growth or 25% over the period through the outlook year -- to the outlook year $20 million, we think that's start $8 million, we think that's pretty conservative. $110 million in total. And then EBITDA, estimated EBITDA contribution from the incremental revenues, we assumed 37% contribution percentage. And when Matt and I did the math pretty carefully, probably a good number, not an aggressive number, that's for sure, money be a little conservative. Adjustment to a base year EBITDA, $2.5 million. This is assuming that the things we talked about at the beginning of the presentation has affected our margins and Q1 and prior quarters that those things normalize. $2.5 million, we think is a good number but also a conservative number. That's how we get to $35 million of EBITDA. So on to Slide 30, we're not going to go over these footnotes. We kind of just went through them. These are just explanations as to how we did the math. Let's go on to Slide 31. We'll stop here for a second because this is important stuff. Park financial outlook, just principally based upon growth estimates or programs on which Park is sole-source qualified. Okay. What does that mean? The above outlook is not a forecast. It's just an outlook. It does not consider growth on these programs and we have a whole list of these program opportunities here. These are examples. This analysis does not consider any other revenue opportunities, including, for example, revenue opportunities related to, we're not going to cover each one of them, second one Film Adhesive, except for the A320neo, we're not considering any film adhesive. Going down to the middle of the page, the structures, assemblies, integrations project, which Park is in serious discussions with existing customer. Potentially very large, significant, I mean, revenue wise. Next one, technology license agreement under discussion with a large OEM related hypersonic missile to systems, potentially very large. I'm talking about lots and lots of dollars here. Last one, Arrow 3 Missile Defense System, again, potentially very large. We actually covered that in the slide relating to some of the niche aerospace -- military programs that we're working on. Let's go on to Slide 32. So why are we doing this? Why are we reviewing our financial outlook? Let's go through some history. February 9 of this year, we announced that the Board of Directors had approved an increase in our regular dividend. And the stock price reacted, we thought, appropriately. Market response to the announcement made sense to us. I think the stock went up to about $16.90 and that would be equivalent to $15.90 because there was a $1.00 special dividend, that in between the announcement and the current market price, so $15.90. In March, [2003] (ph), S&P announced that we're deleting our common stock from the S&P Small Cap Index that pretty much wiped out the entire gain. And we didn't feel so good about that. We also mentioned to you last time, of those other companies in the S&P Small Cap Index, how many pay dividends and how many paid over $28 a share since 2005, probably maybe none. And obviously that has an impact upon our stock price and our market cap. But continuing on 05/11/2023, that’s when we announced our Q4 and that's when we provided you with this outlook that we just reviewed. We went through it again because we thought maybe it wasn't -- we didn't make it clear. We explained at the time, this is key that the financial outlook formed the basis of the Board's decision to increase the regular dividend. That's why it's not a forecast. We did this outlook and we review with the Board when we decided to increase our regular dividend because we were looking in hope improves, we're saying, look, this is an outlook, this is kind of like what we consider to be pretty good thing. Maybe you wouldn't say sure, you wouldn't ever say sure thing, but a pretty reliable thing to count on. So yeah, we are very comfortable in increasing the regular dividend on that basis. Let's go on to Slide 33. What was the market response to the provision of our financial outlook? Not much, which surprised us a lot. We didn't understand that. Why was it such a muted reaction? We're not sure. Is market efficient? You know the theory that the market efficient is kind of like this big computer that takes into account all the data, all the information that comes out with the right company value. Is the market broken? Maybe. A -- what I consider to be a very smart institutional investor, recently mentioned to me that he thought the market was broken. Maybe the investing public just doesn't believe us. Maybe don't believe that our outlook is real. Even though we've explained it again that it's not a forecast we're talking about, for the most part, programs are already sole-source qualified on. And we're not talking about any of those old programs. We listed a couple of slides ago that are significant programs, some of which, my guess, will have a big impact on Park’s future. But we believe us, maybe the market doesn't. So shortly after we announced Q4, we implemented Rule 10b5-1 Company Stock Purchase Plan with Needham. Under that plan, through the end of our Q1, we purchased about 129,654 shares of our common stock at an average price of $12.87, total cost of $1,668,000. The key thing here is that through the end of this -- the first quarter, that it was only two weeks from when we implemented the plan to when the first quarter ended, really talking about what happened in our first quarter. And that amount was the maximum we were allowed to purchase under the plan under the SEC rules and regulations. Let's go on to Slide 34. So purchases that occur, if any, in our Q2 will be disclosed when we report that quarter. We're not talking about that. Now we told you in the past -- we know some of you didn’t like this, we prefer that the investing public -- we prefer the investing public to buy our company stock. But since that did not seem to happen in any meaningful way in response to the provision of our financial outlook to the investment public during our Q4 Investor Call, we did. We went and did that. We prefer the investor -- investment community, the investor responded, but they didn't. So we did. Let's go on to Slide 35. So this is a change of gears here. We just kind of give you an update. We now have, as of the end of the quarter, Q1, we had $81 million of cash. We still hold that $12.5 million transition tax installment payments that have to be made and they're to be made within two years. The last payments made in June of ’25. So that money won't be around for long. Solution treater for the ADL project, $6 million. Joint development project capital investment, $5 million. This is kind of a derivative of what we used to call the AFP project. The difference here is that this would be working directly with a customer or joint development project. Additional buybacks, well, we'll see what happens with that. But looks like cash remaining after all the stuff is about $57.5 million. We just want you to see that number for perspective. Let's go on to 36. The balance sheet, cash and capital allocation, we have zero long-term debt. You know the story about our cash dividends. I won't go through it, except to mention again, it's been $583 million that we paid in cash dividends since fiscal 2005. Our thoughts about our cash and capital allocation. So I'd like to change gears for a second here. I know it’s delayed and we've been -- we're 55 minutes into the call, but something came up, I guess after we announced -- I think after we announced Q4. Two different institutional investors called me and they're good people. So I'm not -- I'm glad they mentioned this to me. Both said to me, Brian, you're underpaid and you should pay yourself more. And then I think that their point was that maybe we -- Park would be inclined to more buybacks less dividends. I think that's what they're getting at. So nobody's ever said that to me before and I'm glad they did because when two people say something like that within three days of each other and I don't think they were talking to each other, maybe other people are taking the same thing. I don't remember ever talking about my situation. But let's just backtrack for a second. I want to tell you something else. I've been on the Board since ‘83 and I can tell you with 100% confidence that whenever the Board is talking about dividends, buybacks, what do with our cash, never once, never once have I come up, my personal situation come up or my family situation. It's never been considered, it’s never been discussed, it's just not on the table. I want you to know that. Let's go back to me, all right? So I think my pay is $220,000, I think that's what it is. You can look -- check the proxy statement. I'm not 100% sure about that. So, many years I reduced the pay in order for the company to be able to afford to pay for, maybe holiday gifts or additional bonuses for the workforce to some extent anyway. Every year, without exception, the Board offers me more money and bonuses, every year I turn the Board down, I never accept it. What's going on here? The Board wants to pay me more. These two shareholders said maybe I should be paid more. Well, this may sound like a strange thing to say, but I'll say it since it's been brought up. You couldn't pay me enough to do this job. It's just not something that could happen. The sacrifices I've made, the things that I want to do that I won't get to do, the people I would have liked to spend time with that I will not get to spend time with. Just kind of a fact of life for me. I'm not complaining. I'm just telling you the reality. But I don't do this job for the money. See, that's the key thing. I do it because I care about Park. I want Park to have a future. That's a key thing for me. And I care about our people. I care about our people a lot. I love our people. And I also care about the long-term investors. So I just want to understand the motivation here. I appreciated the comment. I appreciate that somebody had that kind of guts, whatever, two people, to actually tell me this. So it led to my thinking, well maybe I should kind of air this out a little bit and not keep it, let's say, quiet. Let’s go on to 37. So we're almost done here. The Park family, the secret to our success. The following is an excerpt from a recent message to the Park Family. I'm not going to read it. Read it if you'd like at your convenience. But the key thing here is that the Park Family Culture is really everything for us. Without our Park Family Culture, we would be really nothing, would be lost. Let's go on to Slide 38. In the Park family, we go for greatness and the path to greatness is arduous and difficult and hard. Others may settle for mediocrity, but at Park we're not like the others. At Park we play for keeps, and we are now in our 70th year of playing for keeps. So our tradition every quarter, we share photos, one of our teams, this is the special, we call it Park’s Special R&D Group. I'm not going to provide you the names because it will make it easier for the people to our south to steal our people. But outstanding job by our R&D group, developing film adhesive formulations. Polymer chemistry formulation R&D is very challenging. We've been doing this for a long, long, long time, even electronics. And the large majority of projects which are started never get to the finish line. So the fact that we developed two formulations, one of which we commercialized, narrowed here and one of the other is being the process -- so we're starting the qualification with MRAS, like I said, very, very, very good. And we're working other projects as well, not just these two, but these two are outstanding. And then something else, what about doing the film adhesive trials, the qualification runs, internal qualification runs, we haven't had the workforce to do that. So who did it? The R&D group. They staffed the qualification runs and the film adhesive qualification and trial runs. And what about the new plant? We have a new plant qualified. Well, we had to do trials and qualification runs for new plant. With didn’t have the staff to do it. The R&D people stepped up and they did it. So remember at the beginning of the presentation, I did say, we do more with less. Well, in our R&D group, you can see it. There's one person didn't -- wasn't able to make the photo op, I think he was out for the day. So this is our whole R&D group, we do more with less. Outstanding and great accomplishments by a pretty small group of people, I would say. I'm saying that from the basis of experience actually. So, okay. Well, thank you very much for listening. Operator, if there are any questions at this time, we'll be happy to answer them.
Brian Shore: Thank you everybody for listening. Have a great summer. And if you have any follow-up questions that you want to ask Matt or me, feel free to give us a call. Have a good day. Thank you.
Operator: Thank you. This will conclude today's conference. You may disconnect your lines at this time, and thank you for your participation.